Operator: Good morning, ladies and gentlemen, and welcome to the Southwest Gas Holdings 2020 Year-end Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to your host, Ken Kenny, Vice President of Finance and Treasurer. Thank you. Please go ahead.
Kenneth Kenny: Thank you, Sadie. Welcome to the Southwest Gas Holdings, Inc. 2020 Earnings Conference Call. As Sadie stated, my name is Ken Kenny, and I am the Vice President of Finance and Treasurer. Our conference call is being broadcast live over the internet. For those of you who would like to access the webcast, please visit our website at www.swgasholdings.com, and click on the conference call link. We have slides on the Internet, which can be accessed to follow our presentation.  Today, we have Mr. John Hester, Southwest's President and Chief Executive Officer; Mr. Gregory Peterson, Senior Vice President, Chief Financial Officer; and Mr. Justin Brown, Senior Vice President, General Counsel; and other members of senior management to provide a brief overview of 2020 earnings and provide earnings per share guidance for 2021.  Also, the company will address factors that may impact this coming year's earnings and provide some longer-term guidance. Further, our lawyers have asked me to remind you that some of the information that will be discussed contains forward-looking statements. These statements are based on management's assumptions, which may or may not come true. And you should refer to the language in the press release, our SEC filings and also Slide #3 presented today for a description of the factors that may cause actual results to differ from our forward-looking statements.  All forward-looking statements are made as of today, and we assume no obligation to update any such statement. With that said, I'd like to turn the time over to John.
John Hester: Thanks, Ken. Turning to Slide 4. Southwest closed out a strong year for 2020, realizing record net income of $232 million, representing record earnings per share of $4.15 and our 15th year of dividend increases with a $0.10 increase to our dividend to an annualized rate of $2.38 per share. For our regulated utility operations, we added 37,000 net new customers, the strongest gain we've seen since 2006.  Operating margin increased by $24 million; decreased operations and maintenance expense of $16 million; approved rate relief of almost $60 million in Arizona and Nevada, and an agreement in our California rate case for over $6 million in rate relief and an expected forthcoming decision from the commission. Finally, at our unregulated infrastructure services operations, we realized record revenues of $1.9 billion, which represented a $197 million gain over the prior year. We saw significant storm restoration revenues of $82 million as we helped our regulated utility customers recover from 8 major weather events impacting retail customers in 14 different states. We experienced record net income of just under $75 million, a 43% increase over the prior year, and Centuri contributed cash dividends of $26 million to the parent corporation.  Moving on to Slide 5 and outline for today's call. Greg Peterson will provide a financial results overview with segment breakdown for our regulated and unregulated operations; Justin Brown will provide an overview of our extensive regulated activities; and I will provide an update on our response to the coronavirus pandemic, our diversified and growing customer base, our efforts advancing interest and sustainability, our capital and rate base growth, our dividend and our expectations for the remainder of this year.  With that, I will now turn the call to Greg.
Gregory Peterson: Thanks, John. Yesterday afternoon, we announced our 2020 earnings and provided some statistical information in a Form 8-K filing with the SEC. We also filed our annual report on Form 10-K with the SEC. Please refer to these documents for a comprehensive analysis of our operations for 2020. I will touch on some highlights and additional details of our operating results for 2020.  Let's start today with a comparative summary of total company income on Slide 6. As John mentioned, consolidated net income was a record $232 million or $4.14 per diluted share compared to $214 million or $3.94 per diluted share for 2019. The EPS result of $4.14 for 2020 exceeded the top end of our EPS guidance range, primarily due to tailwinds from incremental emergency storm restoration work performed by Centuri and sizable increases in the cash surrender values of company-owned life insurance at the utility. The relative incremental contributions to net income between years for each operating segment are shown on the next slide.  Slide 7 depicts the composition of the $18.4 million increase in consolidated results between 2019 and 2020. Net income for the Natural Gas Operations segment declined about $4 million, while net income for the Utility Infrastructure Services segment was up over $22 million between years. I'll provide some additional details surrounding the changes in each segment in the following slides.  The waterfall chart on Slide 8 shows the components of a net $4 million decrease in natural gas operations results between 2019 and 2020. Additional details are on Slide 40 of the appendix to this presentation. Let me start by saying that operating margin reached a historic level of $1 billion in 2020. The $24 million operating margin increase includes $14 million from 37,000 first time meter sets during the past 12 months, a 1.8% growth rate. Rate relief in Nevada and attrition increments in California collectively provided $7 million of operating margin. The remaining $3 million increase between years includes the impact of a onetime $5 million reduction to margin in 2019 associated with the tax reform adjustment to the Arizona decoupling mechanism.  Our moratorium on charging late fees negatively impacted 2020 margin by an estimated $6 million. The $15.8 million decline in operations and maintenance, or O&M expense, reflects management's efforts to reduce expenses at the outset of the COVID-19 pandemic, including a $4 million reduction in travel, in-person training and related costs, a modified process to minimize customer contact during tenant changes, saves about $2 million in expenses and we temporarily reduced head count by about 1% from 2019 levels, while maintaining a 96% customer satisfaction rating.  Legal claims were down about $3 million between years. However, a strong housing and construction market and the accompanying population growth resulted in a $5 million increase in line locating or call-before-you-dig costs to ensure the safety of the communities we serve. Incremental O&M costs, including training for our customer data modernization initiative, or CDMI project, were about $2 million in 2020, and we anticipate an additional $2-plus million in incremental O&M to facilitate go-live of these projects in mid-2021. Depreciation, amortization and general taxes increased $20.8 million between years. Capital expenditures of $692 million in 2020 drove a $668 million or 9% increase in average gas plant in service and a corresponding $19.7 million or 9% increase in depreciation and amortization. Even with a similar level of overall capital expenditures in '21, depreciation is anticipated to grow an incremental $5 million to $6 million associated with the midyear implementation of the CDMI projects, which have shorter depreciable lives than our pipeline infrastructure.  General taxes will also increase in '21, as the property tax tracker base in Arizona is reset with the new level of expense associated with the recent general rate case decision. The $16.1 million decline in other income includes an $8.2 million reduction between years in the change -- in cash surrender values of company-owned life insurance or COLI policies. Both years were more than our expected $3 million to $5 million annual increase as a major portion of the underlying investments surged with the general stock market. Specifically, COLI values increased $9.2 million in 2020 versus a record high increase of $17.4 million in 2019.  The mix of the underlying investments was adjusted in the fourth quarter of 2020 to mitigate these extreme volatilities in cash surrender values going forward. While maintaining the face value of the policies at approximately $260 million. The other major component of the decline in other income was a $5 million increase in non service-related pension and postretirement benefit costs between years. These non-service pension and related costs are expected to decline about $6 million in '21. However, O&M will experience an offsetting increase associated with the service-related pension costs.  The $6.1 million increase in interest expense reflects higher outstanding debt balances, including $450 million of 2.2% senior notes issued in June 2020. Southwest's ongoing capital expenditures are being financed with a combination of debt and equity issuances to supplement cash flows from operations.  We'll now review Centuri results on Slide 9. This chart shows the components of the $22.5 million increase in utility infrastructure services net income between 2019 and 2020. Centuri revenues increased $197 million to nearly $1.95 billion, due primarily to incremental electric infrastructure revenues of $145 million from expansion of work with existing customers and securing work with new customers. Included in electric infrastructure revenues in 2020 is $82 million from emergency storm restoration services provided -- performed by Linetec following hurricane and tornado damage to above ground utility infrastructure in the Gulf Coast and Eastern regions of the U.S. Most of this work was performed during the third quarter and early fourth quarter. At the peak of this effort, we had nearly 700 employees working 16 hour days to restore power to thousands of homes and businesses. These employees were diverted from other work to perform these emergency services. By comparison, only $13 million in similar services were provided in 2019.  Centuri also experienced continued growth with existing gas infrastructure customers and benefited from generally favorable weather working conditions during the year. These overall revenue increases are even more impressive given the challenges associated with performing in a COVID-19 environment. Revenues from contracts with Southwest totaled $135 million in 2020 and $159 million in 2019, representing 6.9% and 9.1% of Centuri's total revenues for 2020 and 2019, respectively. Centuri expenses were $156 million higher than the prior year, largely due to incremental expenses related to electric infrastructure services of $109 million, including costs associated with storm restoration work.  Storm restoration work typically generates a somewhat higher profit margin than core infrastructure services due to improved operating efficiencies related to equipment utilization and absorption of fixed costs. During 2020, Centuri received $4.1 million in wage subsidies from the Canadian government associated with COVID-19 relief programs, recorded as a reduction to wage expense. Also included in utility infrastructure services expenses were general and administrative costs, which increased $24 million between years due to higher payroll and operating costs and higher profit-based incentive compensation. Offsetting these increases were lower insurance costs from favorable claims experienced under self-insurance programs. Depreciation and amortization increased $9.1 million primarily due to $5.8 million of incremental depreciation related to the continued growth of Linetec. Interest expense declined $4.8 million, primarily due to lower borrowing rates on the outstanding balances of Centuri's facilities. The $4.6 million decline in other income on the chart shows the -- includes the net income allocable to noncontrolling interest that grew by nearly $4 million, reflecting the portion of Linetec's business that we currently do not own.  Income tax expense increased $9.7 million between years due to the substantial increase in pretax income. In the appendix to the slides accompanying this presentation, we have added summary operating results of Centuri in a format that includes a gross profit line and separately identifies amortization of intangible assets. A separate presentation of EBITDA, a non-GAAP measure, is also included. We believe these additional materials may be useful to investors and analysts in further evaluating Centuri results.  Finally, as shown on Slide 10, the Natural Gas Operations segment provided 68% of our consolidated net income in 2020, and Centuri contributed 32%. Centuri's growth in revenues, including significant emergency storm restoration services to thousands of homes and businesses, produced record net income and an increased share of consolidated results. With new utility rates effective in Arizona and Nevada and anticipated in California, the utility's contribution to consolidated net income is currently expected to exceed 70% in 2021.  I'll now turn the call over to Justin Brown, for a regulatory update.
Justin Brown: Thanks, Greg. As John referenced previously, subject to receiving final approval on our pending California settlement, we will see refresh rates in each of our state jurisdictions that will result in increased revenues of approximately $66 million. This will help us continue to provide safe, reliable and affordable energy service for over 2 million customers across our 3 state service territory.  Starting with Slide 11. We've received final approval in December on our Arizona rate case. This results in increased revenues of nearly $37 million. We were also authorized to continue our fully decoupled rate design, our property tax tracker, implement a new income tax tracker and continue with a slightly modified COYL program.  Turning to Slide 12. We also recently made a compliance filing identifying our plan for reconciling any unrecovered revenues from the COYL and VSP programs. In 2019, the commission froze the existing surcharge and suspended future surcharge filings, pending the outcome of our rate case. As such, we now need to reconcile the differences between the COYL and VSP surcharge revenue we've received to date and the amount outstanding through the calendar year 2020, plus address the VSP plant that is not included in base rates following our most recent rate case. In total, this adds up to about $74 million.  We plan to make a filing in May requesting to adjust the tracker surcharges and recover these costs, at which time, the commission will evaluate the proposal, including the time period in which the costs are to be recovered. We'd expect to see a decision before the end of the year.  Moving to Slide 13 in our Nevada rate case. The commission authorized a revenue increase of $23 million with an ROE of 9.25% and an equity ratio of just under 50%. Rates became effective back in October.  In California, turning to Slide 14, we filed our proposed settlement agreement with the commission the first week of August. The proposed settlement agreement provides for a revenue increase of just about $6.5 million, including an ROE of 10% and an equity ratio of 52%. We also agreed to continue our annual attrition filings, which will allow us to adjust revenues by 2.75% annually over the next 5-year rate cycle.  Two other very important components of the rate case include approval of our proposed risk informed decision-making programs, which will allow us to invest up to $119 million over the next 5 years in safety measures to ensure continued safe and reliable service for our California customers. And we also will be allowed to recover these costs annually through a surcharge.  In addition, we agreed to remove a large replacement project in North Lake Tahoe from the base rate request and instead the parties agreed to simply recover the cost annually as the segments of the project are completed. This was originally estimated as a $60 million project, and we included about $30 million of it as part of the future test period in the original filing, which accounted for about $4 million of the original $12.8 million proposed efficiency in the case. The ALJ recently made a filing requesting to extend the statutory time period through April and signaling a March time frame for the order. We currently have a memorandum account in place that allows us to track the differences between existing rates and the proposed new rates such that we will not be harmed due to any delay in getting a final order issued.  Turning to Slide 15, and a quick update on several of our expansion-related projects that we've been working on. In Southern Nevada, we continue to make progress on our $28 million expansion project in Mesquite. Last quarter, we saw the completion of the approach main, which will be the main source of permanent supply of gas for the area. In Northern Nevada, we started hooking up our first customers last quarter. Since receiving approval to proceed with our $62 million Spring Creek proposal, the first development area along the approach main was well received by new customers, as we saw 100% of the eligible customers request gas service.  We will continue to build out to the other portions of Spring Creek throughout the remainder of the year. And with that, I'll turn it back to John.
John Hester: Thanks, Justin. Moving to Slide 16. Southwest Gas has had a multifaceted response to the COVID-19 virus to protect the interest of our employees, our customers and our shareholders. To protect the interest of our employees, we successfully pivoted to a work-from-home environment last year for our office staff, and rolled out increased personal protective equipment and social and physical distancing guidelines for our field employees as well as our contractors.  Protecting the interest of our customers, we temporarily suspended utility late payment and disconnections for non-payment, offered outreach assistance and flexible payment plans and coordinated with state and local government entities to secure funds available for payment of utility customer bills.  And protecting the interest of our shareholders, our utility rate designs operate under decoupled revenue structures, while our Centuri utility infrastructure services revenues remained strong and growing. We're able to secure specific COVID-19 regulatory asset treatment in both our California and Nevada regulatory jurisdictions.  Turning to Slide 17. We continued to experience strong customer growth, adding 37,000 new customers in the past year as homebuilding activity and in migration to our service territories remain strong. On Slide 18, we believe our continued significant customer growth is predicated on a great value proposition we offer to our customers. The natural gas service we offer is reliable, affordable, strongly demanded by both current and new customers and comes with a high bar for customer service, for which we realized a 96% customer satisfaction this past year, as noted by Greg, along with first place rankings and independent third-party customer satisfaction studies. Moving to Slide 19. We featured two of the newest areas of expansion in our service territory, as detailed by Justin earlier: Mesquite and Spring Creek, Nevada. Expansion into these areas was facilitated by supportive state legislation that allows Southwest to propose service territory expansions into areas of Nevada that are unserved or underserved by natural gas. Both towns consider the availability of natural gas to be critical to their economic development interest, and we have committed almost $100 million in capital to support that interest.  Turning to Slide 20. We show the breakdown of our customers and margins by state jurisdiction. Residential and small commercial customers make up over 99% of our customer base and are served under decoupled rate designs in all 3 states.  On Slide 21, are some selected quotes characterizing the strength and resilience of the Southern Nevada new home market, with 2021 already off to a very impressive start. And on Slide 22, we show some of the comparable quotations, reflecting the significant new home growth in Arizona.  Slide 23 illustrates that the economic development in our service territories is not singularly focused on new homes, but encompasses substantial new business expansions at companies like Resorts World, Google, Raytheon and the Las Vegas Raiders, among others.  Turning to Slide 24. We detail some of the many programs we are developing and implementing to secure natural gas' rightful place in a sustainable future greenhouse gas reduction and climate change interest are important to our company, our regulators and our customers, an important part of our ability to influence future reductions in Greenhouse Gases, includes the increased use of renewable natural gas as well as promoting the displacement of diesel and gasoline in the transportation sector with compressed natural gas. We now have tariffs and programs throughout our service territories to support expanded deployment of RNG and CNG to our customers.  Slide 25, demonstrates that the support we are receiving in our regulatory venues is translating into real projects on the ground, as we partner with our customers to secure renewable natural gas supplies for our system, expand the use of CNG and look towards a hydrogen inclusive future. One of my favorite initiatives is our partnership with the RTC here in Southern Nevada as it already converted its extensive bus fleet to compressed natural gas to address air quality containment issues, but in the interest of establishing a carbon-neutral footprint, recently entered into an agreement with Southwest gas to secure renewable natural gas as an alternative to much more expensive and operationally inferior electric buses.  Moving to Slide 26. For more information on Southwest Gas' promotion of numerous initiatives to enhance the sustainable future, please see our sustainability report, which is accessible through the website noted at the bottom of the slide.  Turning to Slide 27. Our plans for capital investment across our 3-state footprint is detailed. Southwest gas plans to invest approximately $2.1 billion over the next 3 years to serve new growth and enhance the safety and reliability of our gas distribution network. We anticipate funding about 50% of those investments with internal cash flows and the remaining balance with an even mix of both debt and equity issued through our ATM program.  On Slide 28, when including dividend payout expectations, we anticipate our 3-year capital needs will approximate $2.5 billion, which is planned to be sourced with roughly $1.2 billion from cash flows from operations, approximately $600 million in utility debt issuance and about $700 million in equity issuances. Turning to Slide 29. Our continued investment in our gas distribution systems is expected to result in significant continued growth in rate base, with total rate base expected to grow from a level of $4.5 billion at the end of 2020 to $6.5 billion at the end of 2025. This growth in rate base approximates a 7.5% compounded annual growth rate in rate base over the 5-year period ended 2025.  Moving to Slide 30. This graphic illustrates the continued expected investment of capital compared to our historic expenditures, with each of the next 3 years expected to see approximately $700 million a year of continued capital investment.  Slide 31 shows the historic growth in our dividend, an important part of the total shareholder return we offer our investors. Just earlier this week, our Board of Directors approved an increase in the annual dividend of $0.10 to an annualized payout of $2.38 per share.  Moving to Slide 32. We outlined our strategy to continue to increase the value proposition we believe we offer our shareholders. At our regulated natural gas operations, we anticipate continued significant investment in capital and growing rate base, continued strong customer growth, a focus on cost control to ensure affordability to our customers, efforts to encourage a sustainable future through increased use of CNG, RNG, energy efficiency and hydrogen, constructive regulatory results and continued growth in earnings and dividends.  At our Centuri Utility Infrastructure Services segment, we anticipate very favorable continued opportunities to grow both our gas and electric services, a focus on operations excellence, continued refinement of our cost management and resource optimization, encourage cross-selling of services to our combination utility customers, increased profitability and dividends and increased sourcing of cash to Southwest Gas Holdings. Turning to Slide 33 and our expectations for 2021. We provide earnings per share guidance for 2021 in a range of $3.95 to $4.20 per share. Our expectation for the current year compares to 2020 results, which included $9 million of returns associated with company-owned life insurance versus an average annual expectation of $3 million to $5 million.  Moving to Slide 34. Line item detail is provided for our 2021 earnings guidance. For our regulated natural gas operations, we expect operating margin to grow by 6% to 8% based on continuing customer growth, rate relief in all 3 states, expansion projects and infrastructure tracking mechanisms. Operating income should increase by 3% to 5%. Pension costs are expected to be flat compared to the prior year. Company-owned life insurance returns, again, are assumed to be $3 million to $5 million, and capital expenditures should approximate $700 million.  At our Centuri Utility Infrastructure Services Group, we expect revenues to grow by 1% to 4%, in recognition of significant storm restoration activity experienced in 2020, operating income is expected to be 5.3% to 5.8% of revenues. Interest expense should total $8 million to $9 million, and net income expectations reflect earnings attributable to Southwest Gas Holdings, net of noncontrolling interest. Also, please remember that due to our Canadian operations, fluctuations in currency exchange rates can influence results.  On Slide 35, we affirm our longer-term expectations. At Southwest Gas Holdings, we anticipate $600 million to $800 million in equity issuance through our ATM program for the 3 years ended 2023, and we'll target a dividend payout ratio of 55% to 65%. At our regulated utility operations, we anticipate investing $3.5 billion in our gas delivery systems over the 5-year period ended 2025 and expect rate base to grow at an annualized rate of 7.5%. And at our Centuri Utility Infrastructure Services Group for the 3-year period ended 2023, we expect revenues to grow 5% to 8% annually. Operating income is expected to be 5.25% to 6.25% of revenues, and EBITDA is estimated to be 10% to 11% of revenues.  Finally, wrapping up on Slide 36. We believe that Southwest Gas Holdings offers 2 attractive and complementary business segments to our investors. Our natural gas operations offer great customer growth, strong rate base growth and operations focus on safety and reliability, a relatively new distribution system and opportunities to enhance our sustainability posture with the development of renewable natural gas supplies, hydrogen, energy efficiency and more.  Similarly, at our Centuri Utility Infrastructure Services segment, we see continued favorable growth opportunities, a low-risk service platform, long-term relationships with an exceptional group of investment-grade utility clients and increasing opportunities for dividends and free cash flow.  With that, I'll return the call to Ken.
Kenneth Kenny: Thanks, John. That concludes our prepared presentation. For those who have accessed our slides, we have also provided an appendix with slides that includes other pertinent information about Southwest Gas Holdings, Inc. and its 2 business segments. These slides can be reviewed at your convenience.  Our operator, Sadie, will now explain the process for asking questions.
Operator: [Operator Instructions]. For our first question, we have Richard Ciciarelli from Bank of America.
Richard Ciciarelli: Just curious, on your 2021 guidance range -- and I appreciate all the drivers that you're giving for each segment. But just curious how you think about executing within that range, just given it is relatively wide? And are you assuming any revenue requirement from the trackers into that guidance, just given the time line there?
Gregory Peterson: Richie, this is Greg. We're at the very beginning of the year. I think this $0.25 range that we provided is consistent with the $0.25 that we provided last year. So we give the guidance, and we will watch as the year progresses to see how we do. I believe there is some -- and Justin can certainly provide additional detail, but there is some level of recovery for the subsequent rate filing in the Arizona into those results. But again, we'll have to watch and see after the filing is made to see if that impacts the range at all.
Richard Ciciarelli: Got it. And you said there is some additional detail there from Justin. I was just curious what that was?
Justin Brown: Rich, it's Justin. No, I think he's just referring to -- I mean, it's kind of unique in that there's not like a set time frame. So I think our assumptions are based on -- typically, in the past, we would make a tracker filing in February. We would usually get a decision by June or July. And so we're kind of estimating, given the fact that it's related to the tracker programs, it should follow kind of a similar path. And so we expect to see a decision towards the end of the year, a similar time frame, and that's what's kind of reflected in terms of our guidance.
Richard Ciciarelli: Okay. Got it. That's helpful. So there is some small amount, just given the timing there at the end of the year. And then I guess just on your long-term rate base growth assumptions. It looked like that stepped down to 7.5% from your prior guide of 8.6%. And the equity needs, just moved up a tad there.  I guess, what's driving the delta between those 2 numbers, if you can go into a little bit more detail on that? Is there anything around the tracker or rider programs that are not included in there? Or how are you guys thinking about that altogether?
Gregory Peterson: Richie, this is Greg. I can start. One, by saying that just the math, I guess, is what really drives the 3-year CAGR down on CapEx. If you remember, last year, it was still a $700 million a year expectation of CapEx on a lower beginning rate base. So as we've continued out that $700 million, just the math drives that down a little bit. And we're pretty comfortable with the $700 million range. We think it was what we executed to in 2020. And we see that available going forward in 2021, up through 2025.  As it relates to the equity needs, I guess I'll start by saying we're using round tens of billions of dollars. And so that $600 million to $800 million range from equity, it's pretty much the same as what it was before, but just to make the math work, you end up ticking things up by $0.1 billion. So I wouldn't say that there's anything driving that. Other than it's just the math that makes it work. But again, we expect and are working to ensure that we maintain this 50-50 equity and debt mix that we have on our books. We think that's a good place to be. And so we will be issuing equity all along the way over the course of the next few years to ensure that, that's where we stay at.
Richard Ciciarelli: All right. Got it. That was very helpful. And just last one, if I can sneak it in. On your infrastructure business, has the recent weather events caused any increased demand to that, the winter weather events in particular? And is that baked into your current expectations?
John Hester: Richie, this is John. I think that the recent weather event for Centuri has kind of been a little bit of plus and minus. So I wouldn't say that we've seen any kind of significant uptick with the weather conditions that were as poor as they were, that caused a little bit of slowdown in normal work that you would be doing with utilities. And then they had some other limited opportunities to work with utilities that had their facilities that needed to be restored. So I would say that we're not expecting to see a big increase out of that most recent storm. And so it's not really reflected in the 2021 results and our 2021 -- our 2021 guidance wouldn't change as a result of that weather.
Richard Ciciarelli: Okay. Great. That's very helpful. And any fuel impacts that you all experienced? Or I'm assuming not?
John Hester: We actually did see some impact on the gas -- this is John, again. We did see some impact on the gas prices that we experienced with our customers. We get a fair amount of gas out of Texas for our Arizona customers, which are served primarily off of El Paso. I think that there were some lesser impacts on some of the other pipelines that we take gas off of, including Kern River, Northwest Pipeline, Ruby Pipeline. We're kind of tallying up those incremental costs now.  We've got rate-making mechanisms in each of our jurisdictions that we think will accommodate the increased cost that we experienced. But it's something that we're going to go back, take a look at, have some discussions with our regulators, see if there are any incremental accommodations that we might need to make in the interest of our customers.  But the important part for us was notwithstanding the cuts that we saw on some of our pipeline systems, we did not experience any outages for our end use customers, and we're pretty happy to see that.
Operator: For our next question, we have Richard Sunderland from JPMorgan.
Richard Sunderland: Just maybe starting off with a follow-up on that last point there. The potential combinations you alluded to, would that be sort of around recovery timing or the length of period for recovery. Just curious if you speak to that element a little bit more.
John Hester: Yes. This is John. That's exactly what we're talking about, Richard. I think that is something that we want to take a look at what the fluctuations and bills will be over time. How do those compare with the fluctuations that we've seen historically? And as you probably know, we've got relatively low bills in our service territory, our average bill in Arizona and Southern Nevada is probably in the neighborhood of $45.  So when we are looking at an increase in gas costs and gas costs are less than half the bill, we want to be thoughtful of it. But yes, what we would be looking at is, there any particular areas that we would want to consider a longer amortization period than what would normally be included under the normally operating mechanisms.
Richard Sunderland: Got it. That makes sense. And just to -- just looking forward here, when should we expect an update, maybe both, one, on the total cost; and two on those regulatory discussions?
Gregory Peterson: Yes, Richard, this is Greg. I know our documents are pretty long. We did have a little bit of estimated flavor to say that these incremental gas costs that we incurred over that peak period were estimated at $200 million to $300 million. So I think that -- we've seen some of our other utility peers that operate in much colder climates have numbers that are 10x that big. So our range is $200 million to $300 million.  We probably won't do any updates with that until we actually come out with the Q1 report. And that will also give us time to assess the timing and have the meetings that we intend to do with our regulatory body. So I wouldn't expect anything likely until the Q1 update in early May.
Richard Sunderland: Great. I appreciate the color. And then one final one for me here. Just the COLI commentary earlier in the script, if I misunderstood this, I apologize, but it sounded like there were some changes made to the portfolio overall around the volatility going forward. But it doesn't look like the return expectations have changed at all. So just could you kind of thread the needle between those 2 elements or any other considerations here?
Gregory Peterson: Yes, certainly, Richard. This is Greg, again. As you know, we've had some significant run ups, at least the last 2 years, right, our range has been $3 million to $5 million. And in 2019, it was $17.4 million of increase, a $9.2 million of increase. And those are really driven by the stock market returns.  If you go back another year, it was a $3.2 million decline in COLI because of the stock market activity in 2018. So our overall expectations haven't changed. This is really just like balancing any other investment type portfolio you have. So we've moved stuff out of things that are more linked to stock and moved them into more of a fixed return component. Previously, probably in the last year, I talked about having over 50% of our cash surrender values invested in things that move like the stock market. That number is probably half that now. So it's probably more in the 25% range.  So the $3 million to $5 million is still a good thing. We've got a big base to work with now, over $140 million of cash surrender value. So I think the range will still be fine. Our intent is to minimize the volatility because at the end of the day, the dollars that we actually get from this are based on the ultimate life insurance proceeds that come from those policies, which, as I indicated, total about $260 million.
Operator: For our next question, we have Chris Ellinghaus from Siebert Williams.
Christopher Ellinghaus: Can you talk a little bit, John, about what you're seeing in terms of RNG decarbonization investment opportunities out there?
John Hester: Sure, Chris. I think that we see those opportunities existing now and growing. I think that our regulators have been pretty supportive of us moving into that venue. We have a lot of customers who are interested in harnessing the methane that is produced as part of their operations, whether you're a dairy farm or a sewage treatment plant or a landfill, some of those same partners. Maybe if you're a municipality, you have an interest in getting that renewable gas into your bus fleet.  But the challenge for a lot of those customers is that they're not necessarily experts in operations of gas supply and distribution. So the commission has been supportive of us being able to partner with them, investing capital and helping them accomplish those goals. So we think it's definitely happening right now, and we expect that to continue to grow over time.
Christopher Ellinghaus: You sound like you have a very strong housing market in Vegas and Phoenix areas, in an acceleration in new housing starts that's material.
John Hester: I lost a word that you said there, Chris. But if you're asking, is the acceleration of the housing market -- I think it definitely has been accelerated. It's very strong. And we're continuing to see a high demand by people that live in our service territory to buy new homes. There's a relatively low amount of inventory. Resale homes have seen some decent increases in price, although, regionally, it's still a very affordable market. So we continue to see that going on through this year and I think that if you look at any of the homebuilding stocks, certainly, you can see their expectations and their revenues and profits and share prices have increased significantly.  So we think this continues to have legs for continuing to grow. And I think the other thing that we're seeing related to that, that I alluded to and that you've followed for years, Chris, is the interest in individuals relocating to the Desert Southwest for a number of different reasons, including the lifestyle that you might be able to enjoy here, tax considerations, as a lot of other states have some significant tax shortfalls that are going to be followed by significant incremental tax increases. So we think that the future looks pretty bright.
Christopher Ellinghaus: Okay. Justin, in Arizona, there's been some significant changes at the commission there. Give us sort of an assessment from your point of view of where you see the tenor of the commission going forward?
Justin Brown: Yes. Chris, it's Justin. To your point, there's been some changes. With this election, you had the -- with a new chair as well. So we have a new Chairwoman in Lea Márquez Peterson, new Commissioner in Jim O'Connor and a new Commissioner in Anna Tovar. I know -- actually, it's scheduled to some meetings this last week where we've met with several of them, still got a couple left to meet with.  But so far, I mean, I think things seem to be pretty positive. We have a nice long-standing relationship with Commissioner Tovar, given her days in the state legislature as well as being the former Mayor of Tolleson. So that's someone we know pretty well.  And then I know with respect to Commissioner O'Connor, haven't had a chance to meet him yet. I think we've got a meeting next week with him, but my understanding is he's someone that's a pretty good friend with Doug Little, who's a former Commissioner. And my understanding is that they are like-minded, is what I understand. And so we're definitely anxious to get to know him and develop a good working relationship with him as well.  And I think if he -- if what I'm hearing is correct, that he's similarly minded to Doug little, I think that will be a positive thing. Because I think Commissioner Little was a pretty constructive regulator during his time at the ACC.
Operator: Our last question, we have Aga Zmigrodzka from UBS.
Aga Zmigrodzka: Justin, I have one clarification question on the final VSP filing. I think you mentioned the rate increase of $74 million. Is that for both coal and VSP? And should we expect onetime rate increase? Or it will be more gradual increase over time for VSP?
Justin Brown: Yes. Aga, it's Justin. That's a good question. So that's the total amount as kind of we've calculated it. And so really, to your second part -- so that would be in total. So that includes all 3 components. And then the second part of that is, I think there's probably some flexibility on whether, theoretically, that's a one year or if that's a multiyear thing. If you recall in our rate case, when we had made our 2019 surcharge filing and the commission kind of froze the surcharges at that time and moved things to the rate case, there was -- we had pending a $12 million increase to the surcharge. Well, ultimately, we moved that to the rate case and we proposed to amortize that over 3 years.  So again, I think there's a little bit of a precedent there where some people may look to in terms of whether that's one year or whether that's over three years. And whether it's applied to one component or all three components, I mean, that's part of the process that we'll be working with the commission and the staff this summer as we look to get a decision, hopefully, by fall.
Aga Zmigrodzka: In the prepared remarks, I think it was mentioned that you have now tariffs for development of RNG projects. Do you plan to invest just in the connections or also in the facilities? Are those costs potentially going to be rent-based? What's kind of the spending that you're thinking about on the annual basis? Could that accelerate grid-based growth? If you could elaborate about that a little bit more.
John Hester: Well, Aga, this is John. I'll start out, and then maybe I'll turn it over to Justin. I think that the increased opportunities for investing in facilities related to RNG would be considered to be included in that $700 million a year of capital that we plan moving forward with. I think that our primary interest is to work that through the regulatory process. The regulators have been pretty supportive of it and pretty interested in us acquiring those supplies and working with customers who might not naturally have the operational experience that we have in working with those types of fuels.  So I expect it to continue to go up. But I think that it would be included in our express capital expenditure plans. Anything else on that, Justin?
Justin Brown: Yes. So Aga, consistent with what John is describing and as I think was reflected on the slide that he touched on in the prepared remarks, starting a couple of years ago, we have just been focused on working with all 3 states on getting frameworks in place that will allow and support those opportunities as they arise. And so we'll continue to -- we've got some good legislation in Nevada. We've got some good tariffs in California and Arizona. We had a proposal on our Arizona rate case. They're going to have a workshop later this year to talk about that further.  And so again, our plan is to continue to get that framework in place so that, that way, when opportunities arise, we'll be able to partner with those suppliers, those municipalities that have these resources available so we can bring them online.
Operator: I am showing no further questions at this time. I would like to turn the conference back to Ken Kenny.
Kenneth Kenny: Thank you, Sadie. This concludes our conference call, and we appreciate your participation and interest in Southwest Gas Holdings, Inc. Everyone have a great day. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. You may now disconnect.